Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Terex Corporation Third Quarter 2019 Earnings Conference Call. [Operator Instructions]. I would now like to turn the conference over to your speaker today, Brian Henry, Senior Vice President of Investor Relations. Sir, you may begin.
Brian Henry: Good morning, everyone and thank you for participating in today's third quarter 2019 financial results conference call. Participating on today's call are John Garrison, Chairman and Chief Executive Officer and John Sheehan, Senior Vice President and Chief Financial Officer. Following the prepared remarks we will conduct a question-and-answer session. We have released our third quarter 2019 results, a copy of which is available in terex.com. Today's call is being webcast and it's accompanied by a slide presentation, which includes a reconciliation of GAAP to non-GAAP financial measures that we will use during this call, and is also available on our website. All adjusted for share amounts in the presentation are on a fully diluted basis. We will post a replay of this call on the Terex website under events and presentations in the Investor Relations section. Let me direct your attention to Slide 2, which is our forward-looking statement and description of non-GAAP financial measures. We encourage you to read this as well as other items in our disclosures because the information we will be discussing today does include forward-looking material. With that, please turn to Slide 3. And now, I'll turn it over to John Garrison.
John Garrison: Good morning. And thank you for joining us and for your interest in Terex. First, I want to thank our global team for their intense focus on creating a zero harm safety culture, delivering value for our customers and their commitment to implementing our strategy. Looking at the global market environment, it became clear to us towards the end of the third quarter that we are in a softening environment for industrial equipment. Demand in the major markets for arrow work platforms has declined putting pressure on sales. We lowered production in the third quarter and are reducing production in the fourth quarter to align with global demand which is impacting margins. A bright spot for AWP continues to be growth in China. In the quarter, materials processing continued strong performance, increasing sales and generating over 15% operating margin again. However, bookings and backlog levels are pointing to weaker demand in their global markets. In this environment, I was very pleased with our free cash flow performance as you regenerated $104 million in the quarter, a significant improvement compared to last year. Our global team continues to focus on generating cash and improving working capital efficiency. As we enter a more challenging macro environment for industrial equipment, we are intensely focused on maintaining a strong liquidity profile. We are well-positioned entering the fourth quarter with approximately $1.1 billion in available liquidity. One of the commitments we made back in 2016 was to generate returns greater than our cost of capital throughout the cycle by executing our strategy, focusing the portfolio on great businesses, dramatically improving our balance sheet, reducing corporate overhead and making significant improvements to our operations. We are well-positioned to deliver on that commitment and have the ability to execute at a high level through the challenging phases of the equipment cycle. I knowledge and the team understands that we have more work to do as a company to establish a consistent, high level of execution across our businesses. Turning the Slide 4; we continue to implement our strategy and enhance the capabilities needed to win in the marketplace. A core element of our execute to win business system is talent development. We recently completed our annual talent review process. This is a global activity that requires every leader in the company to evaluate his or her team, update development plans and address talent gaps. As I travel to our sites around the world, I'm always encouraged when I meet emerging leaders. We have many high energy, passionate team members that are taking on more responsibility. To harness this talent, we're investing in company-wide leadership development and mentoring programs and supporting local training initiatives. From a leadership perspective, we recently announced the 3 executives who I would describe as builders of Terex, Eric Cohen, Kevin Barr, and Brian Henry will be leaving the company at the end of the year. Eric led the legal function and providing counsel to the senior leaders of Terex for 22 years. Eric was instrumental in the company's acquisitions and disposition strategy and building and improving the company, including establishing our corporate governance and ethics and compliance strategy. Kevin joined Terex 19 years ago, to build the human resource function. He was a leader in implementing the cornerstone of our culture, the territory values. The fact that we had internally developed leaders taking on these executive roles going forward is a testament to the quality of the talent development structure that Kevin put in place. Finally, many of the folks on the call have worked with Brian Henry. Over his 29-year career with the company he has been a driving force in the strategic decisions, including the acquisitions and divestitures that shaped the Terex of today. I want to thank Eric, Kevin and Brian for the many contributions they have made to Terex over the course of their distinguished careers. I want to thank each of them for their insights and counsel. Turning Slide 5, we continue to make progress implementing our strategy. In August, we completed the sale of Demag mobile cranes. Team members from across Terex worked incredibly hard to close the sale and ensure a smooth transition. In the remaining rough terrain and tower crane businesses, we rebuilt our commercial organization to position the businesses for success. We are committed to these businesses and investing to support our customers into the future. We continue to simplify Terex. We completed the transition to a 2-segment organization. A significant portion of the general and administrative costs associated with the former crane segment has been eliminated. The simplified structure also allowed us to reduce expenses in our corporate functions. Our leadership team continues to scrutinize every expense to ensure our operating model is efficient and appropriate for the current structure and market environment. We continue to execute the organic growth elements of a disciplined capital allocation strategy by investing in innovative products and services and our global manufacturing capability. The new utilities manufacturing site in South Dakota remains on schedule and within budget. MPs expansions in India and Northern Ireland are on track. The new [indiscernible] facility pictured here celebrated its official opening last month. The new site manufacturers mobile conveyors and eco-tech waste management and recycling equipment. These investments enable simplification, improve manufacturing productivity and underpin our long term growth. We also continue to invest in our execute to win priority areas. Our commercial excellence team achieved this significant milestone in the quarter by completing the final deployment of Salesforce. All of our businesses worldwide are now on the system and lifecycle solutions. The leadership team is in place. We're investing in systems and infrastructure to enable longer term growth. A high performing parts and service business is important throughout the cycle as demand for new equipment moderates. Finally, we continue to implement our strategic sourcing program as we are moving significant volume to new suppliers. Lower production volume, which is reducing spending levels is impacting the overall savings. However, we are achieving good savings rates. Based upon AWP's lower production levels in spend forecast, we expect savings of approximately $25 million this year. Turning to Slide 6, based on our year-to-date performance, the slowing global market environment, reduced production volume and adverse foreign exchange rates we now expect full year EPS to be between $3 and $3.20, a net sales of approximately $4.4 billion. While we continue to focus on working capital and improving cash flow, we are adjusting our free cash flow guidance for 2019 to approximately $110 million based on our updated earnings outlook. Looking ahead to 2020, well, we're not providing financial guidance today. From an operational perspective, we are planning for sales to be potentially 10% lower than 2019 due to the softening macro environment for industrial equipment. We are planning conservatively but are ready to react to the changing market conditions. With that, let me turn it over to John.
John Sheehan: Thanks, John. Let me begin by reviewing our Q3 segment highlights. AWP sales total $628 million in the quarter down about 14% versus the prior year period. Weakening demand in North America and EMEA lead to sales declines in both markets in the quarter. We increased sales in China, driven by market growth and increased product adoption. Lower sales and reduced production volumes in the quarter resulted in lower margins for the segment. To align with customer demand and manage inventory levels, we reduced aerial production in the quarter by over 30% compared to last year. This resulted in lower manufacturing absorption and lower than expected material cost savings. Margins also continued to be impacted by a weaker euro, which declined 4% versus the U.S. dollar compared to Q3 last year. Leading to a $5 million operating profit headwinds. A weak euro pressures AWP margins in Europe, as a large portion of the product sold in the region is produced in North America and China. Finally, the mix of sales were more skewed to teller handlers, which also impacted margins. Softening in the major markets lead to lower bookings and backlog in the quarter. A portion of the year-over-year decline is attributable to the timing of annual purchase orders with 3 major customers. Their 2019 orders were booked in Q3 of last year. We are still negotiating their 2020 orders. Excluding these three large orders, bookings would be down 19% and backlog would be flat to the prior year. Materials processing continued its strong performance, achieving excellent financial results again in Q3. Sales were $339 million, up 8% or 12% on an FX neutral basis on growth across the MP businesses. The MP team delivered a very strong operating margin of 15.6% on an adjusted basis, representing an expansion of 240 basis points. These results were driven by improved operating performance across the portfolio and effective price cost management. The British pound to U.S. dollar exchange rate provided a modest tailwind to MP. MP is seeing lower backlog and booking levels as the global macro environment for industrial equipment is slowing. That said, the MP team is diligent in their production planning and will manage the businesses appropriately. The rough terrain and tower cranes businesses that are reported in corporate continue to perform in line with expectations in Q3 although these businesses also experienced weakening demand in the quarter. Let's turn to Slide 8 to review our consolidated results. Total Revenue of $1 billion was down 7% or approximately 5% on an FX neutral basis. The currency volume and lower production headwinds that impacted AWP margins were partially offset by the strong performance in MP and reductions in corporate expenses, leading to an overall adjusted operating margin of 8.8%. Investment in our execute to win initiatives and restructuring-related charges were the primary difference between our as reported and as adjusted operating profit. On an as adjusted basis, total interest and other expense increased approximately $2 million year-over-year, resulting from increased borrowings offset by non-operating FX gains. For the quarter, we generated earnings per share of $0.82 on an as adjusted basis. While this quarter's EPS was lower than the prior year's quarter on a comparative basis, the result is 21% better than the $0.68 as adjusted EPS we've presented in Q3 2018, demonstrating the benefits of our strategy execution. Turning to Slide 9; we are delivering on our commitment to follow a disciplined capital allocation strategy. Our global team continued to focus on improving working capital and pre cash flow performance. During the third quarter, we generated $104 million of free cash flow, a significant improvement compared to the third quarter of last year. We have reduced inventory slightly since the end of Q2. However, we continue to hold more inventory than last year. To better align with market conditions, we continue to scale back production levels, particularly in AWP. We will continue to reduce inventory as we do diligently manage working capital through the cycle. In addition to free cash flow, we are generating cash by executing our portfolio strategy. The sales of the Demag mobile cranes and our shares of ASV generated approximately $150 million in cash proceeds in Q3. As of September 30, our net debt to adjusted EBITDA ratio was a healthy 1.5x, down from 2x at June 30. While we continue to invest in our execute to win priority areas, the level of investment has been reduced, as our internal capabilities are maturing. We are investing in our global manufacturing capabilities with capital expenditures of approximately $120 million in 2019 and planning for approximately $100 million in 2020. Turning to our full year financial guidance on Page 10. Based on year-to-date performance and outlook for Q4, we are updating our full year 2019 guidance. We now expect revenue for 2019 to be approximately 3% lower than 2018. The decline is driven by softening demand in our major AWP markets. Our operating margin outlook is now approximately 8.4% and our EPS guidance range has been updated to $3 to $3.20 per share. We have lowered our expected full year effective tax rate to 20%. As a result of our updated earnings outlook, we are adjusting our full year free cash guidance to approximately $110 million. From a segment perspective, we expect AWP performance in Q4 to continue to be impacted by the market downturn in North America and Europe, resulting in an expected full year sales decline of approximately 7%. We are reducing production dramatically in the fourth quarter compared to last year, which will lead to substantially lower factory absorption. In addition, lower volume, adverse foreign exchange rates and product mix will continue to impact margins as we close out the year leading to an expected full year operating margin of between 7.25% and 7.75%. The Eurodollar exchange rate will have an unfavorable full year impact on AWP margins of approximately $30 million. We expect MP to deliver solid operating performance in the fourth quarter. We are updating full year guidance to sales growth of between 3% and 5% and operating margin of 14% to 14.5%. MP operates several facilities in the U.K. Our guidance range assumes there are no major disruptions associated with Brexit. We continue to monitor events as the Brexit process unfolds. And with that, I'll turn it back to John.
John Garrison: Thank you, John. Turning to Slide 11, I'll review our segments starting with AWP. The overall global market for the Aerial Work Platforms is clearly softening. Frankly, we expected a longer period of market stability. However, geopolitical and macro-economic dynamics have led to a market downturn. Looking ahead to 2020 we are planning for demand in North America and Europe to be lower than 2019 and are working closely with our customers to align with their requirements. Looking beyond 2020, we expect growth in the developed markets to be driven by the replacement cycle, which we expect to take in in the 2021 timeframe. We continue to be encouraged by growth in the developing markets. Customers are seeing the benefits of adopting Genie equipment to safely and efficiently work at height. We expect strong long term growth in the Asia Pacific region. Turning to utilities; the North American market continues to grow and the utilities team continues to deliver strong performance. A key to improving margins in AWP is the execution of our strategic sourcing strategy, including transitioning significant volume to new suppliers. Through the end of September, the AWP team has transitioned over 2,200 parts to new suppliers. We are encouraged by the saving rates we are achieving. However, the lower spend levels are impacting the total value of savings in 2019. Looking ahead and through the cycle, improving our supply base will mitigate some of the margin pressure and lower volumes and will support margin expansion when markets improve. We continue to invest in growth in emerging markets and product innovation. The Genie team recently launched a new electric scissor lift pictured here featuring E-drive technology. The new model was designed as a global product to reach high locations in tight spaces, adhering to the new ANSI standards, as well as European and other requirements. So another great example of Genie innovation. I recently attended a utilities equipment show in Louisville, Kentucky. This is a major event for the utilities industry and Terex had a strong presence. We are growing and gaining share in the utilities market by focusing on what's important to our customers, safety and innovation. At the show, we introduced a new innovative TL series for the transmission line segment. This enables us to compete in a new market segment with a cost-effective solution for doing higher-level work on transmission lines. The utilities business will benefit from the new manufacturing facility we're building in Watertown, South Dakota. The new site will increase capacity and significantly improve productivity. It's an important investment for Terex as the utility equipment market has considerable growth potential in North America and in developing markets. Overall for AWP, the investments, we are making in our execute to win priorities, new product development and strengthening our global footprint will improve performance throughout the cycle. Turning to MP; materials processing is a high-performance segment that delivers strong results. Although sales grew across the MP portfolio in Q3, we're seeing signs of the market conditions are softening. Utilization of crushing and screening equipment remains high. However, conversion from rental to sales is slowing, as uncertainly in both the United States and European markets is impacting capital spending decisions. The global market for material handlers has softened and our Q3 bookings were down sharply from last year. We are monitoring scrap steel prices, an important driver for this business and working closely with our customers to align with their demand outlook. Our cement mixer truck business in the United States was relatively stable. And our picking and carry crane business continues to execute well although demand is softening in Australia. We continue to invest in new products. The recently launched power screen jaw crusher pictured here is the latest example of Innovation in the crushing and screening business. The lightweight machine is designed to maximize throughput, at a aggressively low cost per ton setting it apart from the competition. MP has a history of success developing new products and new markets and our business in India is a great example. Our Hosur India plant celebrated an important milestone in August, achieving 10 years of growth in India. With Hosur as the cornerstone, Terex has established itself as the clear market leader in mobile crushing and screening in India. In addition to the tremendous job the team has done growing the business, I'm also proud of their safety record. Achieving over 4.5 years with no lost-time injuries. We're making investments to expand our capacity in Hosur and we will capitalize on the dramatic growth potential in India and the surrounding markets. In summary for MP great performance again in Q3. We are seeing signs that the U.S. and European markets are softening and we're evaluating production plans for every business. As MP has demonstrated, the team will continue to execute at a high level. Turning to Slide 13 to wrap up our prepared remarks. Our global team continues to work hard to improve execution and meet the needs of our customers. We've made considerable progress implementing our strategic plan, focusing the portfolio on high performing businesses and simplifying the organization to make our cost structure more agile. We enhanced our capabilities in execute to win priority areas. We implemented our disciplined capital allocation strategy, returning capital to shareholders and dramatically strengthening our balance sheet. With our current portfolio of businesses and strong balance sheet, we are well-positioned to generate cash and significantly out on our cost of capital throughout this cycle. Finally, we’ll continue to follow a disciplined capital allocation strategy while investing in future growth and creating additional value for our shareholders. With that, let me turn it back to Brian.
Brian Henry: Thank you, John. As this is my last earnings call, I would also like to thank the members of the analyst and investor community that I have had the pleasure to work with over the past several years. I will continue to be your contact through the end of the year, at which time Randy Wilson, who I've worked with extensively over the past year will assume the role of director of investor relations. Now let's get the Q&A started. As always, we ask you to limit your questions to one and a follow up to ensure we have time to get to everyone. With that, I'd like to open it up for questions, operator?
Operator: [Operator Instructions] Your first question comes from Jamie Cook with Credit Suisse. Your line is open
Jamie Cook: Hi, good morning, I guess a couple of questions first, on the Aerial side. One, can you just help us understand what the production cuts are implied for the back half of the year versus when you got it last quarter and the risks that the production cuts will have to continue into 2020? Because obviously, that has implications on margins for 2020 given where we are in the back half. Second, on the supply chain, it sounds like you're a little behind because demand is lower. What are the new expectations in terms of what that will contribute in the back half of the year or is this push to 2020 and it is a lower number? And then last the 10% sort of 2020 top line outlook, they're down 10%. Understanding you don't really want to give guidance, but with regards to Ariel should we assume you're somewhere in the range of what [indiscernible] guided you yesterday for 2020? Thanks.
John Garrison: Thanks, Jamie. Several questions there so let me start with the production changes and then I'll have Duffy speak to the margin impacts. I think we have to take us back to last year at this time in Q3 and Q4. We made the decision to maintain a high level of production than normal in a tight labor market and built up the inventory in anticipation for a stronger 2019. As 2019 has turned out, it has not been as strong. I think our customers are being very disciplined in their CapEx plans. Aggressively managing their utilization on rental rates and used equipment which I think is going to be good for us as we move into 2020 -- back after 2020 and 2021. But in that environment, we made the decision to significantly reduce production volumes in Q3 down about 30% and again in Q4, down about 45%. And again, we're going to be very disciplined to not overproduce to the global demand. And so with this lower production volume, it has clearly impacted our margins in Q3 and Q4. So Duffy, would you like to comment on the margin impact?
Unidentified Company Representative: Yes. So I think, Jamie, as it relates to your other questions on strategic sourcing, we did lower the savings for the year 2019 as a result of the lower production that we're seeing in AWP and less buying down to $25 million. We still are very positive on our strategic sourcing initiative. The savings rates that we're getting are in line with our expectations and we see that program continuing to contribute to our bottom line profitability in 2020. We've talked previously about a $70-ish million level of savings next year. And as you pointed out, we're not providing. We will provide our financial guidance in February. And at that time will update exactly where we'll be with respect to all of our financial performance for 2020, including our strategic sourcing initiative. I would say as it relates to 2020 revenue outlook, as we indicated in our remarks, we are planning conservatively for revenue to be down 10%. That's what we're using for our production planning purposes today. When we provide financial guidance in February we'll update exactly where we are from a financial perspective because at that point, we'll have much better visibility to the results of our discussions with our customers that take place here over the course of Q4 and into January.
Jamie Cook: But Duffy, to be clear, the expectation for you to produce in line with retail demand in 2020 at least for Ariel given where we are today?
Unidentified Company Representative: That is correct. I didn't make that point. But as I thought it was inherent in John's response. That is correct. The reduction of the 30% for AWP production in Q3, 45% year-over-year in Q4 is intended to bring our inventories down -- in AWP down 200 million over the course of 2019 such that we are producing in line with retail demand or customer demand, let me say in 2020.
Jamie Cook: Okay, thanks. I'll let someone else get in.
Operator: Your next question comes from Ann Duignan with JP Morgan. Your line is open.
Ann Duignan: Well, I didn't change my first name. Most of my questions have been answered. But I will ask one perhaps on material processing. That business has been just a great performer in the upside and I'm assuming has pretty high fixed costs, given the nature of the equipment. So what should we consider would be normal decremental margins for that business? I'm assuming they're going to be on the high side, somewhere around the 30%. Is that correct? Or am I missing anything?
John Garrison: Ann, thanks for the question. And you are absolutely correct that the MP team has done a great job as they have increased their margins over the last several years, actually in excess of the 25% incremental margins that we have traditionally thought about for our businesses. On the downside in the decrementals, we would also expect that MP would be in the 25% range for their decremental margins. I think that they have demonstrated that they are very cost-conscious on the upside and will be similarly cost-conscious on the downside. I'd say 25% decremental margins is an appropriate place to think about for the MP business.
Ann Duignan: Okay, and just a quick follow up on the material handling side is this the first quarter where you've noticed a slowdown in customer demand or did I just miss within last quarter?
John Garrison: No. On material handlers, we've had a good rise in sales and our material handlers' books business over the last several quarters. And so if this is the first time we've seen kind of the bookings in the backlog begin to come down. And again, that's principally being driven by scrap metal prices around the world as scrap metal prices have come down. That impacts the demand for that segment. But the team has done a good job on the upside. I'm confident they'll do a good job as the volume comes down. And that team is also working to expand our regional mix and our customer mix moving beyond scrap metal, but clearly, scrap metal is impacting our material handling business and will impact it as we go into 2020.
Ann Duignan: Okay, thank you. I appreciate it. I'll get back in line.
Operator: Your next question comes from Seth Weber with RBC capital markets. Your line is open.
Seth Weber: Hey, good morning, everybody. I wanted to ask you about the AWP. I appreciate the color on the changing order cadence but then you kind of called out and I think it was 19% down kind of apples to apples? Can you just give any color where that's coming from? Is that spread pretty evenly U.S, Europe or is there anything you would call out from -- that's contributing to that 19% Delta? Thanks.
John Garrison: Thanks, Seth. Last year in Q3, we actually had 3 large customer orders that booked their APOs to their annual plan in Q3 last year. One of which was a large U.S. customer, 2 of which were larger European customers about equally split in terms of the amount. Approximately $240 million. And I think that was the environment that we were in last year. Customers were looking to plan. Earlier in the cycle, we had had longer lead times -- the competitors that had longer lead times. And as we move into this year, I'd say the team is saying we're seeing a more normal pattern. We're moving into November and December and early January. We're starting those conversations or engaged in those conversations with the larger national accounts. So we did want to call that out that that did occur last year and it did not reoccur in Q3 of this year.
Seth Weber: Sorry, john. I thought I had heard that the -- excluding those 3 contracts that the base business -- the balance of the ordering was still down almost 20%. That is that's what I thought I heard. Wasn't that correct?
John Garrison: Yes, that is correct, Seth. It was down. As we reported, it was down more. This explains that it wasn't down quite as dramatically as it seems.
Seth Weber: Right. So I was just trying to get some color on that 19% or 20%. If that's equally spread? Is that Europe? Is it more U.S?
John Garrison: Sorry about that. Let me just talk about the regional dynamics within their work process AWP business. In North America, we're seeing our customers and in Europe be very disciplined around their fleet in fleet utilization, aggressively managing their utilization rental rates and used equipment. So we saw very strong growth, frankly in the 18 timeframe and growth in our fleets. That's coming down now as we look into the back half of 2019 and into 2020. I will say the high utilization rates that our customers are experiencing will help as we move into the back half of 2020 and into 2021. With the replacement cycle, that high utilization is clearly going to help in North America for the replacement cycle. In Europe, we are seeing the macroeconomic environment is more severe in Europe. Our sales in Europe or in the quarter were down greater than 20%. Our bookings are down as well. I think the global economic uncertainty in Europe with Brexit, the situation in Germany, Italy, what was going on in France just caused a pause in the European market. And so we did see a decline in Europe. And obviously, we're monitoring that quite closely as we go forward to see how that business is going to perform going into 2020. But the macro environment in Europe was more severe of the environment that we saw in North America. And then offsetting all that was dramatic growth in China with the adoption story. We've got a fantastic manufacturing facility in China that produces not only for China but the Asia Pacific region and exports into Europe. And so we continue to see strong growth in China, but ameliorating growth in Europe and to a lesser extent in North America.
Seth Weber: Great, that's super helpful, John. Just on China is there any kind of -- are you banging up against capacity constraints or how are you set up there? Can you handle more demand on the current footprint? Thanks.
John Garrison: Thank you, Seth. I was in China earlier in the quarter. 3 years ago, we implemented the Phase 2 and grew our capacity in China. And we're already through that capacity in China so we're looking at a Phase 3 expansion, other plants in China? We're excited about it. We've got a fully integrated team in China, a great management team, local management team, a great Chinese cost structure. And so we will be expanding in 2020 in our Chinese operations. Again, it's to meet the capacity needs both within China but also to export out of China and into Asia Pacific and other regions which is a very effective place for us to manufacture.
John Sheehan: I would just add that the expansion of our China manufacturing facility is a contributing factor for the $100 million CapEx amount for 2020 that we highlighted in the presentation. And that as we organically invest in our business, it's important to invest in our high performing businesses and China is certainly one of those.
Seth Weber: Super. Thank you very much, guys. I appreciate it.
Operator: Your next question comes from David Raso with Evercore ISI. Your line is open.
David Raso: Hi, thank you. I was just curious -- I hopped on late so I apologize if I missed this but the cash flow was a little disappointing to take it down in the guide even more than the implied EBIT was cut. So I'm thinking about the net to EBITDA. It's improved right. It went from 2.0 to nearly 1.5x at the end of the quarter. When we think of anything to offset what appears to be a difficult cyclical situation for 2020 on the down 10% sales, we can debate the decrementals. How should we expect the balance sheet usage to be utilized to push back against that operational downturn in 2020?
John Garrison: Thanks, David. When you look at the free cash flow forecast that we provided today or guidance that we provided today at $110 million, the reduction is really attributable to the reduction in earnings. I think that the difference between the reduction in earnings and the reduction in the free cash flow is within the range of noise. We generated over $100 million of free cash flow in the third quarter. That's after generating $168 million of free cash flow in Q2. And the guidance we provided today implies about $100 million of free cash flow in the fourth quarter. So the business is clearly throwing off cash flow even in this declining macro-economic environment that we're operating in. I would say that the working capital -- I would expect that in a declining revenue environment next year that working capital will continue to be a source of cash, will provide financial guidance specifically on 2020 free cash flow. But we do expect that free cash flow will continue to be strong. I would say without providing guidance, at least as strong as 2019. And we'll finish this year with net debt to EBITDA or net leverage based upon the free cash flow of $100 million in the fourth quarter below the 1.5x that we're at here at September 30. So we think the balance sheet is very well positioned. Terex's balance sheet has never been stronger. And we are absolutely focused on managing and improving our working capital performance and increasing free cash flow.
David Raso: Well, two things I'd say. One, when you cut your production that much at AWP as much as you lose some earnings, you would think the cash flow from working capital would be a bigger beneficiary than simply having to give away the cash flow equal to the EBIT cut. So I would have thought the working capital offset where it maybe [indiscernible] if you lease it to offset some of the EBIT. If you can answer my question, I apologize, but my question was more about so the balance sheet can be an asset going into next year. How should we think about the management's decision to push back against the EBIT decline? Share repo, things lined up for M&A and just wave some perspective.
John Garrison: So I apologize. I guess I didn't pick up on the last point specifically. I do believe that networking capital will be a contributor to free cash flow, and that will be more so in the early 2020 time period than necessarily here as we closeout 2019. That's why I do believe that our free cash flow in 2020 will be stronger than 2019. As it relates to other actions we may take, with the very strong balance sheet that we have we'll follow our disciplined capital allocation strategy. Invest in the organic growth in the business and then we will potentially return cash to shareholders. We returned $1.35 billion of cash to shareholders over the last two plus years. We do view Terex shares as a good investment and we will continue to strategically consider reinvestment back in our business. I would say on the in organic side that certainly we will continue to consider that. But when we follow our discipline capital allocation right now today our focus is on organic investments in our business. 
David Raso: And I got to have a little more if you could, I'm not trying to push here for just a sense of what the target say net debt to EBITDA that you're comfortable with so we can at least think through whatever the EBITDA decaling is next year, what are you comfortable with on the leverage again this year you're probably end up that below 1.5. 
John Sheehan: We have talked before and really nothing has changed that we're comfortable with net debt in the 2.5 times but I would also say that where we are in the industrial cycle right now we're very pleased to have our net debt to EBITDA substantially below that in the 1.5 times net debt to EBITDA at September 30. And we have over $1.1 billion of liquidity available to us as of today and so we'll continue to consider how we use our balance sheet to drive shareholder value. 
David Raso: I appreciate it okay thank you so much. 
John Sheehan: Thank you, David. 
Operator: Your next question comes from Jerry Ravage with Goldman Sachs your line is open. 
Unidentified Analyst: Hi, good morning everyone. This is [indiscernible] for Jerry Ravage. Just want to start an Aerial, two years ago your Aerial platform business was about the same sizes as Oshkosh and now you're let's say about 20%% smaller, can you help us think about what's driving that difference is this apparently it could be share a loss or are productions adjustment are playing on a relative basis? 
John Garrison: So thanks man obviously if we spoke about pretty significant production changes in reductions in 2019. As it pertains to share based on an data our markets you're consistent, North America is stable on a product by product basis. We have a higher mix of blooms and scissors telling handlers are not as big a part of our overall business as other players in the industry. Our European market share is relatively cop and boom there steady, scissors we did see a small low single digit market share change over the course of the last 12 months or so we're seeing that their rebound in Europe telehandlers are quite small so we're really not a player in the European telehandler market.  And at the park China would see dramatic a significant growth in China. As China adoption story really takes off in the market and you know I was there in September will continue to grow as we spoke or invest in our plant. In China from a market standpoint the market share is changing but that's really a result of the number of Chinese manufacturers that are reporting now into. Overall we feel as we think about our commercial excellence. We are laser focused on delivering value for customers and that comes from product and service innovation. If you look at our A.W.P. line we got out ahead of the market with their boons or extra capacity booms launch which are anti compliant, launch those in 18 and 19. The competitors are going to have to match anti compliance boom as we go on December 10 onwards. Our scissors is our sides there were investing in technology there and we’re also investing in telematics. All of the machines are going out with telematics and telematics solutions. So we're providing a true value package for our customers and our teams working hard on selling that value package we can you continue to you know to win in the marketplace. And I might add as we go through a challenging industry cycle we will not be reducing our research and development spend across any of our businesses.  We will continue to invest in new products and services, these businesses are cyclical we realize that but we are going to invest through the cycle to insure that we get the best products and services in the market place to win. So that how I would response to that in terms of our relative position in the market place. It's something obviously we paid very, very close intension to. But again we're focused on customer and how can we deliver customer value.
Unidentified Analyst: Got it. And I was hoping if you could just provide a little more granularity regarding what's embedded in that 10% revenue outlook for 2020. I am assuming we will see a meaningful larger decline in Aerials relative them material processing but just want it to check. Given the uncharacteristic weakness we seen a material processing, book to bill ratios over last two quarters and just want to make sure we are properly align given you know the higher margin performance in material as well.
John Garrison: Yes, so I think that number one is that the 10% that were referencing today is what we are operationally planning for from a production perspective and we will provide our financial guidance in February just to reiterate that point. When you think about the production planning that were doing right now, we are planning for 10% down across our business lines or business segment. So it's not one business planning for their production to be down significantly more than the other.
Unidentified Analyst: Got it, thank you. 
Operator: Our next question comes from Mig Dobre with Baird. Your line is now open. 
Mig Dobre: Good morning everyone. Just wanted to follow up on that last comment. So when you are sort of making this plan for the 10% production cost. Is this a factor of the backlog erosion that you have seen in 2019 or does this embed already some kind of view as to where your orders are gone be in 2020 based on what you know from your customer's and end market?
John Garrison: Thanks, Mig. It really is a combination of both sale processes that the teams run based on their sales forecast usually at most cases 18 months. So you continue to update your sales forecast in your production plans based on that sales forecast. Obviously you are looking at worse in that case in backlog. So it is a combination but the biggest driver is looking out to the sales forecast as we go forward. And I might say you know in both AWP and MP. In AWP we were historically high levels of backlog in that 17 18 time period. Likewise with our AMP business.  Coming to this year we have historically high backlog of almost $490 million. Historically that business is really not use to operating at that level of backlog normally is more of a shorter cycle book to build business. That business is about 75% of their sales go through a distribution channel. So you know the teams monitored its ongoing active process of the sales forecast to just new production scandals. And then sometimes we have to step in like Matt and the team did it at AWP and make decision that based on labor and things of bad nature. So that's why I explained the changes that we made at AWP. And then AMP is consistent process across their businesses looking at what is that 12 months to 18 months sales forecast look like in the production plan to that. Obviously an output is orders in backlog. So it’s a combination Mig of how you drive that forecast going forward. 
Mig Dobre: Okay. Then my follow up is on AMP. Maybe a little more color on your aggregate business in there. You talked conversion from rental flowing, I've heard one of your competitor say something similar recently. What’s really going on in that market and I guess my question is now they were fairly late in this current highway bill in the US, are you starting to see may be some saturation of demands here. Are we relined if you would on anything legislative or happening in order to get bit of the demand boost as we look at 20 or 21? Thanks.
John Garrison: Thanks, Mig. If we look into the core crushing and screening business and specific to your question Mig around North America, as we have commented. Our dealers, on the positive side our dealers are seeing very high utilization of their rental fleets, which is good news. I mean the underline activity remain strong. There is a degree of uncertainty which is cause them not to convert those rental machines, the customers to convert the rental machines into owner which then allow the dealers to restock their rental fleet. So, that trend has continued as we gone through this year. Again the positive is very high utilization. In terms of the micro outlook specific to North America, any legislative action would be a positive. We're not counting on that in the underline demand profile that we are looking at. So if we were get any major legislation on infrastructure that would be a net positive.  So as we look out and we are not assuming that in the forecast our customers and dealers are not assuming that we're going to get any major legislative breakthrough on infrastructure. I think it's just the underline need for infrastructures specifically in North America is there which again is showing up in the high utilization rates of the aggregate and equipment. What we need to see Mig does that then convert and that's what we're going to following quiet closely over the coming months, does the rental convert to ownership and then which allows our dealers to increase their rental fleet and purchase more machines from us. So that what we will be following quiet closely which we already do but we will continue to follow that as we go forward.
Mig Dobre: Lastly, we are you seeing any price pressure given this the late conversion if you would to ownership. That's it for me, thanks.
John Garrison: Overall, I think the AMP team again it’s a collection of businesses across the businesses were 75% of business is gone to a distribution channel. They manage the price cross ratio quiet well. And so, we haven't necessary seen anything significant in that of course, Mig one of deals here and there. You know with the dealer to a customer always occur but overall I would say the AMP team has done a really great job managing price cost across their portfolio of businesses and aggregate crushing and screening is no difference, there is no difference I should say.
Mig Dobre: Thank you.
Operator: Your last question comes from Andrew Casey with Wells Fargo Securities. Your line is now open. 
Andrew Casey: The clarification of Slide 10, comment about exclusion of future divestiture impact among other things from guidance I know it's kind of been on there but are you looking at further portfolio actions beyond those already announced?
John Garrison: Andy we're absolutely commented to our discipline capital allocation strategy which look at for exactly the Page number but I believe it's right behind it. And so we are not trying to highlight anything with that. As I mention in response to a previous question, our discipline capital allocation strategy is primarily focused on organic investment and then it starts with maximizing free cash flow and then from there organically investing in the business having the right capital structure and then returning capital to shareholders efficiently. And as we continue to operationally drive the performance of Terex, we will consider changing that capital allocation strategy in the future and thinking about inorganic activity but I would say today we're more focused on organic. And just to close it out, we never had a stronger balance sheet in the history of the company leverage at, net leverage of 1.5 times. We do start net debt by $250 million over the course of the quarter, $950 million down to $700 million. So, that we like very much were the company is focused and the strength of our balance sheet. And we will continue to revolve our capital allocation strategy as we move forward.
Andrew Casey: Okay. I mean just to go back John, the question is more around, are we looking at a stable portfolio forget about acquisition?
John Garrison: Andy, so this is John. So the focus element, focus simplifies [ph] to when the focus element of the strategy is virtually complete. The remaining businesses that we have in a portfolio in all businesses that has historically a bit able to out earn the cost of capital through the cycle, they have relative leadership market position in the respective segments that they compete in. And so with the sale of our Demag business that we completed in the quarter that really completed the focus element of our strategy in terms of any of further dispositions within the portfolio.
Andrew Casey: Okay, thanks. And then two follow-ups if I may; I know it's getting late. But they are really follow ups on a couple of mix questions. When you're looking at the segment forecast for next year particularly AWP, you kind of commented about some forecast from the second half of last year that turned out a bit optimistic in correct in this year. Should we expect that you are kind of discounting that segment forecast to be conservative?
John Garrison: I would say, obviously we continue to, one other things is continuous improvement and trying to drive continuous improvement in all of our business processes. And so we want to learn from the previous forecast. We have systems to continue and improve the level of forecasting. One of the things I am excited about as we were able to put sales now globally within that business so that it would give us much better inside into the sales opportunity as we go forward. 
John Sheehan: I would answer that one, Andy saying that obviously our job is to drive continuous improvement in all of over business processes and outcome and we anticipate to continue to do that.
Andrew Casey: Okay, and then last one from. When you look at a co incident background to climbs AWP and AMP and in your discussions with customers outside of maybe [indiscernible] in the picking carry. This seems to be from your comments and mainly uncertainty driven and so what are you hearing from your customers that they may be looking for to reaccelerate investment?
John Garrison: I think that's the border geopolitical question. Andy when you talk to customers, you could talk to European or UK based customers clearly Brexit is in the forefront. So driving clarity in Brexit. Trade policy, trade tensions clarity in the trade, the global trade situation especially in an equipment manufacture and industrial equipment manufacture will clearly help our customers and their insights. So anything that helps to resolve some of the uncertainty on the trade side, on the Brexit side. Those are the things that impact customer that are making capital decision. So, anything that, any progress that can be made over the coming months in that area will be a positive for the global industrial equipment business that we compete in.
Andrew Casey: Okay, Thank you very much
Operator: So I like to turn the call like over to John Garrison for closing remark.
John Garrison: Again I'd like to thanks everyone for your interest in Terex. If you have any additional questions please follow up with Brian at least for the next several months. As Brian moves on but again thank you for your interest in Terex and again any questions please follow up with Brian. Thank you.
Operator: This concludes today's conference call. You may now disconnect.